Operator: Thank you for joining us for the V2X Second Quarter 2024 Earnings Conference Call and Webcast. Today’s call is being recorded. My name is Megan and I’ll be the operator for today’s call. [Operator Instructions] And now I’ll pass the call over to your host, Mike Smith, Vice President of Treasury, Investor Relations and Corporate Development at V2X.
Mike Smith: Thank you. Good morning everyone. Welcome to the V2X second quarter 2024 earnings conference call. Joining us today are Jeremy Wensinger, President and Chief Executive Officer and Shawn Mural, Senior Vice President and Chief Financial Officer. Slides for today’s presentation are available on the Investor Relations section of our website, gov2x.com Please turn to Slide 2. During today’s presentation, management will be making forward-looking statements pursuant to the Safe Harbor provisions of the federal securities laws. Please review our Safe Harbor statements in our press release and presentation materials for a description of some of the factors that may cause actual results to differ materially from the results contemplated by these forward-looking statements. The company assumes no obligation to update its forward-looking statements. In addition, in today’s remarks, we will refer to certain non-GAAP financial measures, because the manager believes such measures are useful to investors. You can find a reconciliation of these measures to the most comparable measure, calculated and presented in accordance with GAAP on our slide presentation and in our earnings release, followed with the SEC. Both of which are available on the Investor Relations section of our website. At this time, I’d like to turn the call over to Jeremy.
Jeremy Wensinger: Thank you, Mike and good morning everyone. Thank you for joining us today. Before I get started, I’d like to thank 16,000 V2X employees for their warm welcome. I am honored to be part of the organization that is supporting some of the most important missions around the globe and play such a critical role in our national security. Please turn to Slide 3. V2X reported record quarter two revenue of $1.1 billion increasing 10% year-over-year. Growth was driven by the company’s continued momentum in the Pacific and Middle East. Adjusted EBITDA margin in the quarter was 6.7% and adjusted diluted EPS was $0.83. The demand for our mission-oriented full lifecycle solutions remains strong and was demonstrated through several recent awards valued at over $4 billion. This includes a production award for our Gateway Mission Routers, an award from NASA valued at $265 million, the award of the adversarial aircraft program named F-5 at $747 million, and finally, a $3 billion plus award to deliver next generation readiness. Given our year-to-date performance, backlog and awards, we are raising our 2024 revenue guidance and reaffirming our adjusted EBITDA, EPS and net cash from operations. Please turn to Slide 4, where I will further discuss recent notable awards. Our focus on providing mission-based technology solutions that enable assured communications is yielding results. This was exemplified in approximately $280 million of recent awards, which are listed on the left hand side of the slide. First, V2X secured a $49 million award to provide enhanced communications across multiple domains with the Gateway Mission Router, or GMR. The GMR is a cyber hardened technology designed to facilitate real-time situational awareness. It seamlessly integrates information and assured communications, creating a truly converged operational environment. GMR has broad applicability across numerous aviation and ground platforms and we believe offers opportunity for growth beyond this initial award. As such, we are continuing to enhance and invest in the solution to provide even greater advanced processing capabilities at lower size, weight and power. Additionally, we believe GMR is positioned to be a key enabler for the Department of Defense Combined Joint All-Domain Command and Control, or JADC2 initiative. JADC2 is a DoD concept that connects disparate systems into the internet of military things, creating a common operational picture, making information accessible anywhere, anytime for rapid decisions. Next, V2X is delivering assured communications to the U.S. Navy, while further expanding its footprint in the Pacific. Our new 5-year $88 million Naval Computer and Telecommunications Pacific award, also known as NCTAMS, will provide vital C4I support to over 700 U.S. and allied forces across the Pacific and Indian oceans. Our 5-year $141 million fleet systems engineering team program will continue to deliver end-to-end C4I systems engineering solutions that are integral to the communications and readiness of the U.S. Navy ships. FSET ensures that no U.S. Navy Strike Group deploys without V2X. Moving to the center of the slide, V2X continues to be a leader in providing global solutions to our customers, most critical and high impact missions. This market strength was recently demonstrated through approximately $1 billion of awards, which includes our 9-year award to support the NASA operations and preparedness for human spaceflight mission at the Johnson Space Center. Specifically, V2X will assist NASA in preparing for the upcoming Artemis 2 mission by ensuring the reliability of the integrated hardware and software systems at the Neutral Buoyancy Laboratory. Additionally, we are currently phasing in the new 8-year F-5 program, which is enabling the advanced training of U.S. naval pilots are providing readiness to the F-5 aircraft that mimics current threat aircraft. Lastly and moving to the right hand side of the slide, V2X is harnessing its capabilities to deliver next generation readiness solutions for customers. For example, the company recently secured an award valued at $3 plus billion over 5 years to enable full spectrum readiness. This award is representative of the capability synergies that can be generated by V2X. This award leveraged the legacy and breadth of the combined company. This includes readiness support, ability to operate large complex programs and the insertion of technologies such as smart warehousing, 5G and logistics tools. Combining this robust set of capabilities with the insertion of artificial intelligence and a differentiated tool suite allowed V2X to submit a unique proposal. This is just one example of our combined capabilities that can be leveraged to win. Now, I’d like to turn the call over to Shawn for a review of the financials. Shawn?
Shawn Mural: Thanks, Jeremy. It’s a pleasure to be working with you and thanks to everyone joining us today. Please turn to Slide 5. Strong top line performance continued in Q2. Record revenue of $1.072 billion in the quarter represents growth of 10% year-over-year. Revenue growth in the quarter was again achieved through expansion of existing business in the Middle East and Pacific regions as well as new programs. This reflects the continued strong demand of our offerings around the globe. Adjusted EBITDA in the quarter was $72.3 million delivering a margin of 6.7%. As a reminder, we are referring to certain non-GAAP financial measures, because we believe such measures are useful to investors. As we have mentioned previously, we expect revenue and adjusted EBITDA to ramp sequentially throughout the remainder of the year. Interest expense for the quarter was $28.8 million. Cash interest expense was $26.8 million. Adjusted diluted EPS was $0.83. I’d like to point out that the adjusted tax rate in the second quarter was 28% due to the executive transition. Absent this, our adjusted tax rate would have been approximately 23% yielding adjusted EPS of $0.88. Please turn to Slide 6, where I’ll discuss our year-to-date results. Consistent with our expectations, year-to-date revenue is $2.083 billion increasing 8% year-over-year. Adjusted EBITDA for the first half of the year was $141.4 million or 6.8% margin compared to $147.1 million in the prior year. The change reflects contract actions that were more heavily weighted in the first half of 2023 compared to 2024. Interest expense through June was $56.4 million. Cash interest expense was $52.2 million, a decrease of $6.8 million compared to the first half of 2023. This improvement is reflective of the continued debt reduction and successful repricing efforts. Year-to-date, adjusted diluted EPS was $1.72 based on 31.9 million weighted average shares. Year-to-date, net cash used by operating activities was $31.6 million, reflective of working capital requirements to support growth as well as the implementation of new business applications. Adjusted net cash used by operating activities was $137.3 million, adding back approximately $12.1 million of M&A and integration costs and removing the contribution of the master accounts receivable purchase or MARPA facility of $117.8 million. Please turn to Slide 7. During the quarter, we repriced and extended a $904 million term loan B. This represents the second successful repricing of the term loan B, which in aggregate, have yielded an 85 basis point improvement in interest rate pricing since October of last year. These positive efforts have allowed us to reduce cash interest expense by $5 million in 2024, which is incorporated into our assumptions. We continue to make excellent progress proactively enhancing the capital structure and lowering interest expense. Since the merger close, we have lowered weighted average annual interest rate grid pricing on our total debt by 170 basis points. Net debt improved by $27 million compared to prior year. The net debt-to EBITDA leverage ratio was 3.6x at the end of the quarter, essentially flat compared to the first quarter. The company’s balance sheet and liquidity position remains strong, with $479 million in capacity, which includes approximately $436 million of availability on the revolver. Please turn to Slide 8. Total backlog was $12.2 billion in the second quarter, representing approximately 3x revenue at the midpoint of guidance. This team metric is an important attribute of our business and provides excellent revenue visibility. We expect backlog to increase in the second half of the year due to awards and contract definitizations. As Jeremy discussed, there will be several awards that will add to our backlog. For example, the $747 million F-5 Adversary award, which is currently in the transition phase and expected to be booked in the third quarter. In addition, the $141 million recompete of FSET, which was awarded subsequent to Q2 is expected to be booked in Q3. With regard to the Saudi Aviation Training Support Services award, we have completed transition, are successfully executing the program and are progressing towards definitizing the contract. Finally, on the $3 billion plus readiness award, we expect to incrementally book activities as they are put on contract. In terms of revenue, we expect the program to ramp in the second half of 2025 with full annual incremental contribution of approximately $200 million. This, coupled with the F-5 win, enhances revenue visibility by potentially adding approximately $300 million of annual revenue over the next several years. Please turn to Slide 9. Given our strong year-to-date top line performance, we are raising our revenue guidance to $4.175 billion to $4.275 billion. We are reaffirming adjusted EBITDA, adjusted EPS and adjusted net cash from operating activities. Summary, we are pleased with the performance across the business in the first half of the year. With that, I’d like to turn the call back over to Jeremy.
Jeremy Wensinger: Thanks, Shawn. Please turn to Slide 10. I’d like to close with some observations and what I believe are opportunities for V2X to achieve its next stage of growth and drive additional value. First, at $4 billion in revenue, V2X has the size and scale to compete in its core markets. Additionally, our global footprint, spanning over 50 countries, is an extremely important differentiator in the markets served by V2X. The infrastructure, people, processes and expertise to operate on a global level is the discriminator and one that is not easily replicated. Second, from a capability perspective, V2X is aligned to well-funded federal budgets, including the largest component of the DoD spending at over $300 billion annually. Furthermore, V2X is positioned in key theaters such as the Pacific and Middle East, where missions matter and are receiving strong funding support from the DoD. For example, the DoD has requested $9.9 billion in government fiscal year ‘25 as part of the Pacific deterrence initiative, which is up approximately 60% from the amount appropriated in government fiscal year ‘23. Third, V2X has solid past performance in all aspects of its business with operational intimacy that provides excellent insight into how missions are evolving. This allows V2X to be ready to support emerging requirements with the critical agility V2X is known for and that is required in the missions we support. In terms of opportunities, the market is rapidly evolving, and V2X is in a great position to accelerate technology insertion, such as artificial intelligence and machine learning, into the missions we support. We are inserting this technology into our bids today as differentiators, as a trusted partner, V2X can leverage operational know how and technology to create a better customer experience and enhanced outcomes. You will hear me speak more about it in the future. How we are inserting these technologies into operations. The depth and breadth of the V2X portfolio is differentiated, and we have an excellent opportunity to do more with our capabilities. V2X has a robust set of solutions that being further leveraged to pursue new opportunities. A great example was the recent large Readiness Award, which utilized the full power of the organization. We are in the early stages of what we can achieve and see multiple opportunities to build on this win. Our new business pipeline will continue to reflect the opportunity presented by the combination of our capabilities. As you heard me discuss earlier, V2X is at the front end of several large new business wins, and we will incorporate operational excellence that ensures that these programs are set up for long-term success. We will build on the – on our past practices to enhance overall performance on new and existing programs. Finally, I believe one of V2X’s greatest opportunities is as we move from the chapter of integration to the chapter of optimization and performance excellence, it will be my priority to leverage my experience across 30 plus integrations to refine our business and processes in order to drive value and take advantage of our global footprint and scale. In conclusion, V2X has great momentum, and I believe there is substantial opportunity to build upon our strong performance. The core of our foundation remains our employees and our commitment to deliver differentiated solutions to ensure customer mission success. Now I’d like to open the call to questions. Operator?
Operator: [Operator Instructions] Our first question comes from Joe Gomes with Noble capital. Please go ahead.
Joe Gomes: Good morning and thanks for taking my questions.
Jeremy Wensinger: Good morning, Joe.
Shawn Mural: Good morning, Joe.
Joe Gomes: Jeremy, welcome on Board. Nice to as finally meet you, even though telephonically, just wondering by 2 months now, just get, maybe kind of give us, what you your initial impressions are. What you see, what you like, where you think, some of your focus needs to go. Here again, obviously it’s only been 2 months, but just trying to get your initial impression.
Jeremy Wensinger: Thank you for the question. And Joe, thanks for joining on the call. I think the first impression I would give you, I’m genuinely impressed with the people. I said in the last part of the earnings – there just a minute ago, these are some very impressive people doing very impressive work around the globe. It is a lot more complex than I probably thought. When I walked in the door, I had the opportunity to meet with the management team in our Indianapolis facility, and got to meet them in person, the people who lead the businesses genuinely impressed with them. They have demonstrated performance. They have demonstrated the ability to take that performance and generate new wins and revenue growth. So, I’ve been impressed, and I think there’s a lot to build on. And I think as I look at where we’re focusing our efforts, the efforts are around execution, performance excellence, and driving, what I would say is coming out of integration, having the opportunity to look at optimization with really a couple lenses. I think anytime you come out of integration, and you really have a chance to look at what is now the company, we see the opportunity to take the broader portfolio to the fight. And I think you see that with the most recent award for readiness, that was the combination of the company coming together that would not have been possible without the companies being acquired. So I think you will see us take more of that and move forward, and it will start manifesting itself in the pipeline, as we – as we think about the total capabilities of the company and dragging them into these new opportunities. But, candidly, I am genuinely impressed with the talent in the company, genuinely impressed with, the overall ability to execute a very difficult portfolio of programs, and they do it flawlessly. And I’ve been just thrilled to be here and thrilled with the people that have welcomed me so far.
Joe Gomes: Great. Thanks for that. Appreciate it. It just, one of the things that the past couple of quarters has been, somewhat questionable. Partly due to, the continuing resolution was kind of the awards pace. And obviously we’ve seen, the awards that you guys have winning, but as you, as you look at the overall picture, is the pace of awards coming out as you expected, or is it, maybe still a little bit kind of slower, just given, the impact from last year’s continuing resolution.
Shawn Mural: Hi, Joe. It’s Shawn. Yes. So in the quarter, we had a book-to-bill that was right around $0.7 billion very consistent with what we saw in Q1 so when we think about year-to-date, we’re looking at about $1.5 billion in award. So we absolutely saw a continuation of that, I’ll say muted environment, with a number of the things that we announced here today, obviously, we expect that to pick up in the back half of the year.
Joe Gomes: Okay. And then one more for me, and I’ll get out back in queue. You didn’t talk about, pipeline here. I think the last quarter, was a $25 billion kind of pipeline, some near-term, some longer-term obviously, can you give us any color on what the pipeline stood at the end of the quarter?
Jeremy Wensinger: I don’t think there was any material change to the pipeline. I think if you think about the duration for which most of the programs are acquired, you start 18 months to 24 months in advance. You work it through the pursuit phase that pursuit ends up being culminated in an RFP. And, Shawn just spoke one. Post-RFP can be subject to a lot of constraints, and as you just said, CR being one of them. But, there’s no real material change to the pipeline. What I’m more excited about, Joe, candidly, is what the pipeline is going to start looking like as we have the opportunity now coming out of integration. And candidly, I’ll be honest, there’s a lot of fog in integration, right? You’re – you’re working very diligently to get all the systems up and running, getting everybody in a position to be able to execute the business without impacting our customer. This team did a remarkable job of not impacting customers, not impacting missions, not impacting employees, that part of integration was exceptionally well done. Now the real opportunity is taking everything that we now see that’s horizontally across the company and putting it together in a way that it will start to show itself in pursuits that previously weren’t in the pipeline because of the desperate companies, but now as one company that you will start seeing that pipeline reflect the combination of the company’s capabilities as we pursue that going forward. So I’ll talk more about it in the fall time frame. But right now, the pipeline remains pretty consistent with what you’ve seen in the past, I’m more excited about what it’s going to look like in the future.
Joe Gomes: Great, thanks. I appreciate it. I’ll jump back in queue. Thank you.
Operator: Our next question comes from Tobey Sommer with SunTrust. Please go ahead.
Tobey Sommer: Thanks. I wanted to ask you question about the forward Outlook with the slightly better revenue growth but holding the profit metrics in-line? What are the puts and takes in that from your perspective that are restraining the profit metrics from accompanying the higher expected revenue?
Shawn Mural: Yes, I think, Tobey, some of it’s the contingency support that we do around the globe, right? So in the quarter, we saw good strong continued growth in the Middle East. I think 29% and similarly in Asia Pacific and those things that type of workforce tends to bring with it a lower margin. So we’re seeing the top line revenue, of course flow through and it’s a bit more lower like I said, lower margin programs that are that deliver some of that.
Tobey Sommer: If I could ask you to comment on the contract awards that you’ve already won in the, I guess in the current quarter and maybe the quantity and extent of contract decisions that you expect in this final fiscal quarter of your customers, because just trying to get a sense for how much you already have in the bag and what a book to Bill would look like if we were to ask for one today for the quarter and maybe what your expectations is for what is seasonally a pretty strong one.
Shawn Mural: Yes. I think for the – I’d say it this way for the total year as opposed to the absolute quarter because there’s always timing affected with definitization, that sort of stuff like we mentioned, I think we’re encouraged with some with recent, I’d say that we’re right around a 1.0 book-to-bill for the year is what we’re expecting. Obviously back half rated in terms of some of those things.
Tobey Sommer: Okay. And then anything that for the revenue outlook being slightly faster growth? Anything that we should consider that might taper off? Just trying to get some color there. But as we look to model next year, how we should think about exiting this year at a better clip?
Jeremy Wensinger: Yes. So I’ll go back to what we said kind of as we came into the year. So programs like T1A and KC-10, they wind down actually this quarter really. So that activity will be largely behind us and then you’re seeing some mix with some of the transition activities that we just talked about, those tend to be a little bit more gradual. I’ll say, F5, I mentioned the ATSS award that we’re that we’re executing now, but it’s still being definitive. So I think those are some of the things that we expect a ramp here, but it will be somewhat modest in the back half of this year.
Tobey Sommer: Last one for me. Do you have any significant protests or recompetes for us to consider either currently or over the next several quarters?
Jeremy Wensinger: Protest. I mean, the big one was the one that we announced earlier today on the F5 that we’re in transition on. There’s, no other items that are in protest that we’re waiting on that due to adjudication on, for the balance of the year relative to recomplete. Nothing in the back half of this year, that is material in nature.
Tobey Sommer: Thank you very much.
Jeremy Wensinger: Thank you.
Operator: Our next question comes from Ken Herbert with RBC Capital Markets. Please go ahead.
Ken Herbert: Yes. Hi. Good morning, Jeremy and Shawn, and Mike. Maybe Jeremy, I just wanted to first drill down into some of your comments on sort of the optimization. As you think about that transition now and as you think about those opportunities, can you maybe provide a little more granularity, can appreciate you’ve only been there a few months, but a little more granularity beyond contract mix maybe where you might see sort of opportunity for better margin performance or maybe different priorities in terms of investing and areas of growth with better margin opportunity. As you look out not just in the second-half of this year, but then certainly into next year as well.
Jeremy Wensinger: Happy to and thanks for joining the call. I appreciate the question, Ken. I think, when I think about optimization, it is, it comes down to giving our local teams the information that allows them to optimize performance, whether that is the through the supply chain, whether it’s through staffing and recruiting, whether it’s through the just the ability to have information at their fingertips that allow them to optimize the performance on the programme. And as I tried to say, as you come through integration, you’re really focused on the kind of the nuts and bolts of getting everything put together. But when you come out of that, then it comes down to how do I put visualization tools in front of them? How do I put the process in front of them? How do I put procedures in front of them that allow us to have commonality across the platform? And where this really gets to you get leverage on this is program managers looking across the organization are operating their programs consistently within the V2X way. And as they do that, capability starts to travel easily horizontally across the company. And so optimization to me is about giving the local teams the things they need to execute their program successfully without having to worry about systems or a lot of things you bump into an integration. How – do I have any hiccups in the supply chain as I implemented the ERP system, anything that would impact their ability to execute, kind of get washed behind you and now you are starting to really focus on giving them everything they need to be successful at the program level, that takes the program to the next level, whether it’s on margins or whether it’s on flexibility, whether it’s on readiness, whatever it is, it allows them much more focus on that mission success. With regards to new business, I think we will spend some time this fall talking about what I have just said, which is now that as you come into that optimization and you are seeing the fact that we are an engineering company. We are a company that has a strong global footprint that those two things become differentiators and how we are going to leverage those in terms of the mix of our pipeline is what we are going to spend time on this fall as we talk about the strategy of the company going forward, and then the resulting margin impact associated with that. Hope that helps.
Ken Herbert: Yes, Jeremy. Thank you. That’s very helpful. And it looks like the revised or the guidance today implies a nice sort of step up in margins from first half to second half. I am guessing that’s a lot of that is mixed. But then as you think about the progression into the next year, is it too premature, can we at least think 2025 is a – some improvement of margins this year, maybe not quite back to the 8% level, but can you give any early indications on sort of how you think the progression continues beyond second-half of this year?
Jeremy Wensinger: Yes. I would say this, relative to the margins, the first half played out almost exactly like we thought it would. I think we had said coming into the year about 45% in the first half, 55% in the back half, exactly what you are seeing play out. There is some seasonality to it in terms of productivity improvements, contract actions, things of that nature that we tend to see. We are seeing those in the back half of this year. It would be early, obviously, to talk about ‘25. I don’t know that I would think that it would be the beginning of ‘25, probably not on par with where we would end 2024, right. Again, due to that seasonality of some of those non-reoccurring type of things that we get.
Ken Herbert: That’s great. Thanks. And then just finally on the free cash, really nice, I think the outlook for again for some improvements there, maybe Shawn, if you can just walk through some of the puts and takes as we think about the free cash in the second half of this year to get you down below the 3x exiting the year.
Shawn Mural: Yes. Great. I would say this, so we have had a couple of impacts in the second quarter specifically relative to, I will say, receipt timing. So, we did – I did talk about in the prepared remarks, a system implementation that we deployed that had a modest impact. We have also seen a little bit of changes in the payment cycles from certain customers that we expect to get, kind of on track in the back half that the team is doing what you would expect everybody to do, which is working through those definitions, the start-ups. which of course also consumes some working capital. We will be out of that here in the second half of the year and expect to meet our commitments.
Ken Herbert: Great. Thanks Shawn and welcome, Jeremy. I will pass it back there.
Shawn Mural: Thank you.
Jeremy Wensinger: Thanks.
Operator: Our next question comes from Trevor Walsh with Citizens JMP. Please go ahead.
Trevor Walsh: Great. Good morning team. Thanks for taking my questions. Jeremy, maybe starting with you, Shawn mentioned the different contingency support revenues coming in. And then that sounds like it’s fairly broad based kind of from a geo perspective. Just would be interesting to hear your take on just broadly the geopolitical environment and where you see kind of areas where you can better serve customers just based on kind of where you may be reading your two leaves kind of see things going and how you maybe adjust or reposition resources assets to kind of again deal with some of the different complexities in the world, if you will.
Jeremy Wensinger: No, thank you and I appreciate the question and thanks for joining the call. I think when I gave the remarks earlier, I think it’s important for you to understand that that global footprint is a true differentiator. And we are, and if you look at where the government spends its money on that $300 billion plus, we are absolutely aligned with that. And if you think about the INDOPACOM move and our existing footprint and INDOPACOM as the two areas where you hear the most in the news are the two areas where we have key differentiation the Middle East and INDOPACOM. Those areas afford us a tremendous amount of flexibility to be reactive to customer needs on a real time basis. And so as the government continues to it, look at its footing and where it needs to spend time and its calories, we are well aligned with those funding profiles. The key for us is what I keep coming back to, which is bringing the entirety of the company to bear for our customer. And as we look at optimization, it is going to be 100% around bringing the entirety of the company to that customer and making them aware of what is available within the company so that when they have emissions of consequence, we are ready to serve them in a way that the presence allows us to be reactive and responsive to those needs.
Trevor Walsh: Great. I appreciate your perspective on that one. Maybe switching gears a little to the GMR contract. Can you – you mentioned in your prepared remarks about some optimization around the unit itself around kind of size and whatnot. Can you maybe just, if you are able to give us a little bit more detail there and then maybe in the context of where you see, obviously it’s starting with the Army, but just where you see that expanding out to the other components, especially given you mentioned Jazzy-2, kind of in the context there, just giving your outlook on that on that particular contract for that one would be great.
Jeremy Wensinger: Sure, happy to. I mean I am excited that we have a toehold in Jazzy-2. I think that is, you hear about it a lot. This is a proven capability, which I am excited about. But think about it, it’s past, does it work phase, it’s past the study phase, which is wonderful. We are now into what I would call like L-array, right. You are in that phase where you are putting it in the vehicles. You are demonstrating it over-and-over again that this is a – it’s solving a problem that our customers have real time. Our next goal is to move this program to a program of record. And as it moves to a program of record, it then unleashes the fact that you have hundreds of thousands of these vehicles and aircraft that will benefit from this capability. Our goal during this timeframe is to continue to work the form factor, which comes down to size, power and weight within that unit and we will continue to invest very consistently with what we have invested in the past to continue to enhance that asset and our capability to be ready for it when it comes – becomes that program of record and becomes that opportunity for them to truly implement a Jazzy-2 solution.
Trevor Walsh: Great. Got it. Appreciate it. Maybe just one last one for you, Shawn. Can you just give us – I appreciate the color that you gave kind of in the call back around or in the prepared remarks rather around some of the contracts are associated with the backlog and kind of where those are coming in kind of in this current year 3Q. But just overall, just maybe give us some color on how you think backlog should track for the balance of the year, in terms of whether it’s on the sequential growth basis or year-over-year. Just first half, second half compare, kind of just give us a little bit of some guardrails that would be helpful. Thanks.
Shawn Mural: Sure. Happy to do so. I think we expect, I will say the book to build to end right around one. The readiness award that we talked about is kind of a binary activity set Trevor, meaning, when things get put on contract and that contract will ramp in the back half of 2025, so very modest bookings anticipated this year for that activity set. The other things that you will see added to backlog and grow are the other awards that we mentioned. We have got a couple. We expect the teams do a wonderful job. Jeremy mentioned our footprint around the globe in both INDOPACOM and the Middle East. I would be remiss if I didn’t highlight again, in the quarter, we had over $500 million of on contract growth. There are some other activities that we will expect in the back half of the year to continue to do that takes advantage of the distributed network we have around the globe to meet our customers’ needs. And so we will continue to see those things as well as some of the activities that we highlighted today. So, I do expect bookings to increase, specifically in Q3 and then obviously in Q4.
Trevor Walsh: Got it. Terrific. Appreciate the help. Thanks for taking the questions.
Shawn Mural: Thank you.
Operator: [Operator Instructions] Our next question comes from Bert Subin with Stifel. Please go ahead.
Bert Subin: Hey, good morning. Thanks for the questions. Maybe just to kick off, I just want to, I guess better understand some of the comments on the sequential progression in margin relative to what’s been happening in the Middle East, is up 29% growth in the quarter. I think that’s after 22% in the first quarter and that’s been a large part I think of what’s been driving margin lower is just higher mix of cost plus work in the region. Do you expect that slow materially in the second half and then that becomes margin accretive, or do you expect that to continue to grow similarly and it just gets aided by other contract actions?
Shawn Mural: Yes. I think that – I think the latter is exactly the way to think about it, right. I mean so the situations are ever evolving as we watch the news and that sort of stuff. So, it would be premature to try to predict any of those things. We are focused on what we can control, in terms of outcomes that we deliver. And so yes, I think about it as, maybe a little bit more muted on some of that 29% growth sequentially, but the contract actions, productivity improvements Jeremy talked about moving into optimization, that’s something that we are carrying forward to all of the programs in the cadence around the enterprise and so expect to drive improvements from those things here in the back half of the year.
Bert Subin: Got it. Okay. And just to follow-up on the next generation readiness contract, can you give us a little more color there? Is this the war fighter readiness contract that was put out to bid or is that an incremental opportunity? And then is this a multi-award contract, so we should be looking for you to win task orders under this as we get further into the process?
Shawn Mural: Yes. So, we are not at liberty to name the contract right now, Bert. It is a single award that that we are off, kind of working through with the customer and when we can talk more about it, we will. We wanted to highlight it today because it is so notable of course and we are very excited to support the customer as we go forward.
Jeremy Wensinger: And I think the other reason we have referenced it is, it is a perfect example of a program that would not have been available to the companies individually. But now, with the combination of the companies became very addressable and the wind shows that. And so that was the purpose of highlighting it today.
Bert Subin: Yes. Great. That’s a very large win, so congratulations. And then just one more for you, Shawn, on the interest expense side of things, can you just help us understand that better? I think you said you did $52 million cash interest in the first half and you are guiding to $60 million in the second half which would be like a 9% to 10% interest rate. But you are sounds like based on where your term structure is, you are below that, like, what’s going on the interest side and where should that settle out?
Shawn Mural: Yes. I think we are right around. So, the – I think the interest expense right around $82 million with the refinancing that we did $82 million and $83 million, somewhere in there, but specifically. So, I think the team has done a wonderful job with continuing to restructure the debt and the financing and you see a little bit in the assumptions that we have changed about $5 million reduction in interest expense for the total year. I think it’s down to $111 million for the total year. I will also remind you there are some of the market fees that are in there, which could be one of the deltas. Well, is the delta to what you are seeing.
Bert Subin: Got it. That helps. And just one more Jeremy for you, you talked about going from sort of integration to optimization phase, appreciate you have sort of only been onboard about two months at this point. But maybe as you have gotten up to speed at V2X, what do you see as maybe the number one area for improvement as you go into the next chapter?
Jeremy Wensinger: I really do think that the opportunity for us is on the execution side. It is really giving the program – programs at the local level, the visibility into metrics and performance levers that they have to improve the overall execution at that level. When you are – like I said, when you are going through integration, it is a lot more blocking and tackling and when you move into optimization, it is more about visualizing data, allowing people to have seamless access to all the information required for execution and it – and also it flows the other way too. We start to have a better understanding of everything that we are doing and looking at capabilities that might travel from one location to another location, because during integration you are not thinking about that, you are thinking about, like I said, the blocking and tackling. And now information flows both directions. The ability to give them everything they need at the local level to optimize execution. It allows us to see where we have differentiators that can be applied to the pipeline. And that’s where the biggest opportunity for us, I think as I move forward is looking at that pipeline, shaping that pipeline for the company, we are today not the companies that came together that were disparate.
Bert Subin: That’s great. Thank you and welcome.
Jeremy Wensinger: Thanks for the questions, Bert.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Jeremy Wensinger for any closing remarks.
Jeremy Wensinger: Megan, thank you for guiding [ph] us today. And then thank you everybody for coming onto the call today. I am excited to be here. The welcome has been exceptionally warm and I am just excited to have the opportunity to be with this team and drive this company forward. And thank you for your questions today, and I look forward to working with you as we go forward. Thanks.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.